Constantin Baack: Good morning, and good afternoon, everyone. This is Constantin Baack, CEO of MPC Container Ships, and I'm joined by our CFO and Co-CEO, Moritz Fuhrmann. I would like to welcome you to our Q3 2024 Earnings Call. Thank you for joining us to discuss MPC Container Ships Third Quarter earnings. This morning, we have issued a stock market announcement covering MPCC's third quarter results for the period ending September 30, 2024. The release as well as the accompanying presentation for this conference call are provided on our website under the Investor and Media section. Please be advised that the material provided and our discussion today contain certain forward-looking statements and indicative figures. Actual results may differ materially from those stated or implied by forward-looking statements due to the risks and uncertainties associated with our business. Before I hand over to Moritz, who will provide a detailed review of the past quarter, let me share some initial reflections on the quarter. We are very satisfied with the performance which has been another solid quarter for MPCC, both financially and operationally. We have continued to execute on our strategy of selective fleet renewal with retrofits, buying, selling and thereby optimizing our fleet; make use of market opportunities as they arise; asset acquisitions as well as making use of the funding market by raising an senior unsecured bond. At the same time, we have maintained a strong and highly flexible balance sheet. And very importantly, we continue to reward you, our shareholders. With that said, I'm happy to hand over to Moritz.
Moritz Fuhrmann: Thank you, Constantin. Also from my side, good morning and good afternoon, everyone, and welcome to MPCC's earnings call for the third quarter of 2024. Following our agenda for today, we will start with the review for Q3 2024 and kicking-off with our highlights for the third quarter. We continue to post strong results, both financially and operationally. Adjusted EBITDA came in at $78 million, which is very much in line with the previous quarters. The container and the chartering markets remain favorable as we continue to take advantage of the prevailing environment and consequently, we have significantly increased the charter backlog, which is up more than 30% since beginning of the year and now stands at $1.2 billion. At the same time, the earnings visibility has improved substantially with strong coverage for '25 and '26, where open days are now covered 85% and 57% respectively. MPCC continues to be very opportunistic and has shown its strong execution capabilities by placing a heavily oversubscribed unsecured sustainability-linked bond of $125 million, which secured attractive pricing and is boosting our investment capacity going forward. Simultaneously, we have acquired four modern 3,800 TEU eco-vessels and subsequently secured long-term charters with Hapag-Lloyd, significantly enhancing our fleet composition while adding to our charter backlog. The market itself continue to show strength, supported by the ongoing disruptions in the Red Sea as well as continued frontloading, which improves TEU mile demand and limited available capacity supports the ongoing strong rates and charter durations that we have seen since the second quarter of 2024. The long-term outlook remains somewhat uncertain given the supply side dynamics. However, with limited open position in 2025, MPCC is in a very, very comfortable position. The good financial result translates into a quarterly dividend of $0.10, which has been declared by the Board. This marks our 12th consecutive dividend, bringing the total number of dividends to $937 million over a span of less than three years. Turning to the next slide and looking at some KPIs for the third quarter. Financially, we see that the top line trend has been reversed and that the revenue has increased relative to the previous quarter, which is partly a result of the strong charter market environment. From a balance sheet perspective, with the delivery of the next newbuild and the corresponding drawdown under the post-delivery financing as well as the cash acquisition of two 3,500 TEUs that we acquired over the summer, the net debt has increased roughly to $60 million. And despite the increase, our leverage ratio remains at a very low level of 19%. Fleet utilization continues to be strong with more than 97% for the quarter and operational expenses have normalized after one-off effects in the previous quarter that has led to inflated OpEx figures. Looking at the cash development on Slide 5, we can see that the strong operational cash flow as well as debt drawdown on the newbuild financing has been somewhat offset by the dividend payments and newbuild deliveries as well as asset acquisition, namely the two 3,500 TEUs on long-term charter. The corresponding refinancing has only been drawn in the fourth quarter of '24 and is therefore not recognized yet. Hence, the cash quarter-to-quarter has slightly reduced by $26 million. However, all-in-all, MPCC remains very disciplined on the capital allocation side of things. Turning to the next slide. As mentioned before, and again, this quarter marks our 12th consecutive dividend, bringing the total number of distributions to $937 million or NOK21.3. This is a fantastic illustration of our commitment to returning capital to shareholders. Year-to-date, the implied dividend yield is already at 36%. However, most importantly and with the improved earnings visibility going forward, we will continue to walk the talk and will stick to our distribution policy, paying out 75% of our adjusted net profit returning capital to shareholders. The next slide, Slide number 7, highlights our chartering efforts so far this year. The trend that has unfolded in the second quarter continues as you can see in the fourth quarter. We continue to see strong rates and durations as we have experienced since the summer. And adjusting for short-term repositioning fixtures, the average rate in Q4 has been north of $30,000 per day, while average durations for those fixtures is close to three years. All of those fixtures are forward nature as the respective vessels are only coming up -- coming open in Q1 and Q2 '25, underlying the strong charter demand for the right tonnage. And similar to last quarter and as a result of the fixtures, we continue adding to the charter backlog, which now stands at $1.2 billion. And for the time being, we continue to see similar rates and durations as we have seen over the last couple of weeks and months, underlying the continued strong chartering market, which is also driven by the market being completely depleted. Turning to Slide 8 and looking at the S&P activity year-to-date. Since the beginning of the year, we have offloaded five vessels with an average age of around 17 years and an average capacity of a bit shy north of 2,000 TEU. And at the same time, we have acquired seven vessels with an average age of around 10 years and with an average capacity of north of 3,000 TEU. And therefore, we have not only rejuvenated the fleet, we have also substantially increased available trading days by more than 170%. Noteworthy, obviously, as you can see on the right-hand side of the slide, the acquisition of four 3,800 TEU wide beam eco-vessels that are an integral part of our fleet optimization efforts. The total consideration for these vessels is $180 million and all four vessels have already been delivered into our fleet and continue trading under the existing contract. During the process, we have forward fixed a new employment for all four vessels commencing in the second quarter of '25 for a firm period of about three years. And this provides great earnings visibility and derisking of the project. And this transaction, again, underpins MPCC's ability to identify and execute these attractive and accretive opportunities in the market. And rest assured, going forward, we will continue to act opportunistically in view of our fleet optimization efforts. Finishing up with Slide 9 and some highlights concerning our sustainability strategy. Following the issuance of a green loan in the first half of '24 for the financing of our dual-fuel methanol newbuilds that are being delivered in late Q4 and Q1 '25, we issued a $125 million unsecured sustainability-linked bond, supporting us in pursuing accretive investments that align with our sustainability targets. In that context, we have also updated our climate target for 2030, where we commit to significantly reduce greenhouse gas emissions from a new 2008 baseline that was assessed and approved by ABS. On the asset side, as you can see on the right-hand side, we continue to take delivery of our fuel-efficient or dual-fuel new-buildings as well as extending our retrofit program. The installation of new blabber bows (ph) and propellers on some of the vessels show significant fuel savings of up to 20%, also enhancing the commercial attractiveness of these assets. And on that note, I hand over to Constantin for the market update and the outlook section.
Constantin Baack: Thanks, Moritz. Following the Q3 review, I would now like to run you through the market section of the presentation. So please turn to Slide 11. I would like to start with the freight market. When talking about the freight market, one certainly needs to talk about the disruptions caused by the ongoing Red Sea rerouting. The effect of the Red Sea disruptions, see also the chart on the left, are estimated to increase global shipping demand by around 3% if disruptions continue across '25 and '26. The impact on vessel demand differs from sector to sector with container traffic seeing by far most significant implications with around 12% rise in TEU mile demand. Any normalization of trade pattern could potentially reduce vessel demand. Having said this, none of the large liner companies expect this to happen anytime soon and their base case for '25 is a continuous rerouting via the Cape of Good Hope, which is also reflected in their fleet strategy and service offering towards their cargo customers. Looking at the chart on the right and hence, the freight market in more detail, it can be observed that freight rates, which surged in mid-2024 have since been on a downward trend. The CCFI comprehensive stands at around 1,400 points at the beginning of November, which is lower than at the start of the third quarter, but 48% higher than in the beginning of 2024. And despite the current downward trend, rates remain twice as high as seen in the recent past in 2023, for example, or between 2017 and 2021. The underlying core trade demand growth is currently estimated by Maritime Strategies International at 5.3% during 2024, representing a slight increase compared to previous projections. That means in 2024, volumes were still strong, partly due to frontloading, but not only due to this. And our customers, the liner companies, have posted strong Q3 results, which is obviously good news for us. Let's move from the freight market to charter rates and asset values on Slide 12. The development in the freight market have also had a continued positive impact on charter rates and asset values throughout the third quarter 2024. On Slide 12, you can see the developments of charter rates as per the HARPEX Index, which is the blue line as well as Clarksons second-hand price index, which is the red line. Basically, since the start of the year, both have increased steadily and have recently flattened out on a solid basis. Despite the correction seen during 2023, both rates and asset values generally remained above pre-pandemic averages, underscoring a rebalancing rather than a complete return to historical lows. During Q3 2024, there has been less activity in the charter market compared to the previous quarter and rate levels mostly moved sideways. What added to the overall low fixing was the unavailability of tonnage. While demand remains strong, especially in the larger segments, there were simply not enough readily available ships to cover all the requirements. Persisting Red Sea diversions forced carriers to employ almost all available vessels to ensure schedule reliability. Nevertheless, both asset values and charter rates are significantly up compared to the beginning of 2024 with charter rate levels being still on very healthy levels and also asset values at levels last seen in September 2022. In terms of outlook, when we look at the present situation in Q4, the charter market has not moved significantly in any direction towards the end of the year. And early next year, fixture terms could decrease slightly in the smaller sizes as this is usually a quieter period in terms of activity. However, vessel availability is still very low. So in the near term, no major developments in the charter market are expected by main market participants. And as per today, we share that view. Let's look at some additional market parameters. On Slide 13, the tight spot market and declining forward ability have led to solid charter terms during Q3. Average durations have increased to 16.7 months, whereby 3,000 to 5,000 TEU were able to secure contracts of two to three years and the smaller 1,000 to 2,000 TEU units were able to secure employment of one year up to year years on average. Due to the limited forward availability, we have seen carriers resorting to forward fixing again, which has helped to keep rates at very healthy levels in Q3 and also well into Q4. Looking at some of the recent MPCC fixtures, which Moritz has mentioned earlier, we have actually seen even longer periods and also quite some significant forward fixtures on our very own fleet. When looking ahead, the order book must, of course, be considered as well and a detailed breakdown of the order book is shown on Slide 14 of our presentation. Here, we basically show the existing fleet on the water, which is the left part of this graphic, including age profile, the different color coding that you can see here next to the actual order book by vessel size. Nothing new, but the fleet is still very much skewed towards the larger units. As we've stated before, we are of the opinion that the fleet, in particular, vessels of 8,000 TEU and below are developing an age problem. The global fleet in that size bracket is getting older and older and the emission reduction demands from environmental stakeholders are getting tougher by the year. Next year, on top of new CII thresholds, fuel EU maritime will be put in place, which favors modern eco units as they have less costs to run compliant. This underscores the relevance of our ambitious retrofit program. But why are investments in smaller units falling behind in the current shipbuilding boom? Investors have continued to shy away from ordering smaller units at high prices, which pronounce economies of scale when ordering new units. The problem is exaggerated by the dual fuel investment decision, which accounts also for a large share of the investment for smaller units. At the same time, more bigger ships should also imply demand for more feeder services and hence, smaller ships of up to about 6,000 TEU. Consequently, going forward, we do expect to see more ordering also in our size bracket. Let me now continue the market section on Slide 15, where we are putting the fleet expansion into context of the current utilization levels. Interestingly and despite capacity having grown by 31% since the start of 2020, according to Clarksons that is the figure, there is currently less than 1% of capacity commercially idle according to Alphaliner. This is shown in the chart on the left. The spot market for larger vessels in that respect is virtually empty. According to Alphaliner, commercial idle capacity stood at 0.7% of the total fleet early November 2024. Another 2.4% of the fleet was tied up by yard stays according to Alphaliner. As per Sea Intelligence, the volume of capacity tied up in congestions has increased to 7% recently with full year capacity growth running at 9% to 10%. This is a snapshot of the utilization of the world fleet. And looking forward, which the chart on the right shows as this shows forward availability of vessels, one can see that the charter market for the next six to 18 months is significantly dried up and availability has dropped tremendously compared to average levels seen before 2020 as well as levels seen in 2023 and early '24. I would now like to continue with the outlook section. So please move to Slide 17. Starting with our charter backlog on the left-hand side, you can find some details on MPCC's forward coverage in the usual illustration. As explained in detail by Moritz, we have strategically utilized the strong charter market during the past months, locking in solid charter periods at very good rates for the existing fleet and also for modern eco-vessels that we acquired in the market as part of our strategy to renew the fleet. Hence, on the back of this, we have added a substantial volume to our backlog. As per end of Q3 2024, we have a revenue contract backlog of $1.2 billion, which has increased compared to $1.1 billion per end of Q2. Also, the projected EBITDA backlog has increased to $0.8 billion. In terms of coverage for the remainder of the year 2024, we are fully covered. For 2025, we have around 85%, up from 76% last quarter and 57% for 2026 of the operating days already covered. What is worth highlighting and what is illustrated on the chart on the right-hand side, compared to one year ago when the backlog stood at $1.1 billion, we have added more backlog than what we have realized in terms of revenues over the same period, i.e., we have seen a net growth of revenues of backlog whilst distributing significant dividends to you, our shareholders. Furthermore, looking at the counterparty analysis, as you can see on the right, in terms of volume by now 93% of our charter contracts are with either top 10 liner companies or backed by long-term cargo commitments. The average remaining contract duration is 2.3 years. Looking at the next slide, we show the upcoming and fixed charter positions for our fleet in 2024, 2025 and 2026 that you can see on the upper part of the left graph. The columns show the total charter positions by year differentiated in vessels that have already been fixed and vessels that are to be fixed. For 2024, we are sold out as we have already fixed all the open positions until the end of the year. For 2025, we have 18 charter positions open and we have 28 open positions for 2026. The distribution of the open positions for next year by quarter are also shown in the overview on the bottom left. As you can see, we have the majority of vessels in Q1 and basically in the first half with around 60% of vessels for next year open during that period. On selective 2025 positions, we are presently already in discussion with some of our charter clients regarding early extensions. With the days covered for 2025 and 2026 as a starting point, we have run a sensitivity for revenues and net profit for two scenarios that you can see on the right-hand side. Firstly, we have applied current market rates according to Clarksons. And secondly, we have looked at the 10-year historical average rates from Clarksons. The outcome you can see in the graph on the right. Applying our dividend policy and current market cap, we would be looking at solid dividend yields even should rates come down notably from current market levels in the small -- in the low single-digit region. Now taking a step back, let me also reflect on MPCC's strategic development over the past years and how we will continue to build the company going forward in order to create value regardless of market environment. As you can see on the left-hand side of the graph, in Q3 2021, we have looked at a revenue backlog of around $1.1 billion and we had basically not commenced our dividends back then. We had only three debt-free vessels and a leverage ratio of 35%, whilst the fleet consisted of 100% conventional vessels. Today, we have a revenue backlog of $1.2 billion that we have been basically able to rebuild over the years also through strategically executing on our chartering strategy over the last couple of quarters. At the same time, we have followed a clear capital allocation strategy that addressed all key areas of our business, one being distributions. We have returned significant capital to our shareholders in form of dividends that we have declared in the amount of up to $940 million as per today. It is worth noting that at the same time, the stock price has also gone up, i.e., despite distributing significant amounts, rewarding our shareholders through stock performance as well. We have strengthened our balance sheet by reducing our leverage and freeing up collateral, as you can see in the middle part of the graph. We are now looking at more than -- at 41 ships debt-free, representing roughly 66% of our vessel portfolio, which is a sizable amount. Finally, as illustrated and explained on previous slides, we have also optimized and renewed our fleet and we have been disciplined, but we are also making use of market opportunities to create value and we have hence optimized our fleet composition by adding newbuilds or eco-vessels and replacing smaller, slightly older vessels at the same time. So both or all three aspects in terms of capital allocation, balance sheet management and portfolio and operations, we believe we have achieved a lot during the last years and we will continue that trajectory going forward. Now let me conclude today's session with a short outlook and summary of this quarter and also look ahead, of course. So far, the year has been extremely busy with a lot of things happening. We have been optimizing our fleet with retrofits, portfolio optimization measures, acquisitions and sales of assets. We have continued to put a strong focus on our operations. We have also optimized our balance sheet even further with a sizable part of our portfolio being debt-free and unencumbered and at the same time, a very solid cash position and investment capacity to make use of market opportunities as they may arise. We have been rebuilding the backlog and are for this quarter, again, in a situation where we have built up more backlog than we have consumed throughout the last 12 months. We have paid the 12th consecutive dividend, standing strong on our commitment towards returning capital to investors. And what matters in my view is not only to have a solid understanding of the underlying market drivers, but also to ensure the company is well positioned in a way that it is extremely resilient to cope with almost any market environment and developments. And that is very important. A company and its people must be agile enough to also be able to make use of market opportunities as they arise and that is our DNA and how we have always tried to position MPCC from the very beginning. Thank you for your interest and we're looking forward to your questions. Thank you.
A - Constantin Baack: All right. The first questions are tickling in. I will take the first one. And that is a question that states, do you believe there will be more scrapping of ships in 2025 to 2026 with a known and believed forecast? Maybe answering the question by talking about how scrapping has evolved this year. This year, we have around 70,000 TEU that have been scrapped year-to-date. That's around 50 ships. And the average in the previous years, in particular, the years 2014 to 2020, which are probably the best possible reference were roughly 300,000 TEU. And of course, in the heydays of 2021, 2022, we hardly saw any scrapping. Now what are the projections out there for scrapping? Clarksons Research estimates scrapping to increase to 240,000 roughly in 2025 and to 480,000 in 2026, mainly driven by the drivers being an aging fleet and the softening in the market. Whether that forecast holds true remains to be seen and certainly depends on market developments because if the market stays at solid levels as it is today, I do not expect to see figures that high. But again, I think the magnitude of scrapping really depends on market development. Of course, the pressure is increasing given the more and more aging of the fleet. But I think it's a very difficult assessment. Looking at historical averages, as I said, I think somewhere between 100,000 to 400,000 TEU per annum. And then it depends -- it's a good number -- and then it really depends on the magnitude of the market softening, if any. So that's kind of our expectation when it comes to scrapping for the next two years.
Moritz Fuhrmann: Next question from the audience relates to a specific slide in the earnings call deck when we provide some sensitivities on the figures going forward. When you discuss your net profit potential, you assume $150 million in depreciation and net financials. How do you reconcile this number? Obviously, looking ahead, it's always difficult to predict very, very precise numbers. So obviously, this is -- this is a proxy, but it's fair to assume that you use the regular depreciation of the vessels of a fully delivered fleet, meaning including the vessels that we just acquired, but also the newbuild vessels that are already been delivered and will be delivered end of '24 and '25. And that also entails the retrofit program that we're currently undertaking. Obviously, those retrofit measures will also need to be depreciated going forward. And the next question is a guidance question. In your EBITDA guidance, what gains are assumed for Q4 relating to the sale of Paola? Yes, our guidance is including assumed gain or book gain for vessel sales. As it stands now, AS Paola is probably being delivered towards the end of Q4, but we are not yet in a position to pin down the specific numbers on book gains. Next question, I just referred to retrofitting. What do you expect will be maintenance and upgrading retrofitting CapEx amount in '25 and '26? This year, '24, we have between $15 million and $20 million in total. On a gross basis in terms of retrofit CapEx that will be shared partly with time charterers who are taking part in the cost. Going forward, especially '25, no budget has been agreed yet. We're currently investigating further retrofitting measures. And I think a fair assumption would be that next year, also looking at the dry docking schedule, you will probably see less retrofitting CapEx relative to the $15 million to $20 million and '26 is too far out to pin down a number yet. Next question is on the leverage structure of MPCC. According to you, what would be the best level of leverage to secure in case of global crisis of shipping? I think the question might be a bit too generalistic. The way we look at our fleet is -- in terms of leverage is twofold. One, obviously, is that we look at the operational leverage, meaning the employment structure on certain vessels. If there's long-term visibility on the cash flow side on certain assets, then we're willing to incur some higher leverage. Also if you have, for example, frontloaded time charter structures, we will structure the debt in accordance to mitigate and manage refinancing risk or residual risk. And secondly, we will always try to keep a significant number of the vessels on the balance sheet debt-free. So as of this reporting, we have north of 40 vessels debt-free. Not necessarily saying that this number will always be 40. But again, we will try to keep a large number of vessels debt-free going forward to also provide us with needed flexibility in case what you call a global shipping crisis.
Constantin Baack: All right. Then there's another question. Please, could you clarify reason for declines in year-on-year revenues and EBITDA? Obviously, we are replacing or renewing our charters basically once they roll over the charters. In particular, if you look at last year, we have had a very good year in terms of average charter rates. Those rates have come off slightly with the latest rollovers compared to last year. At the same time, we have also been benefiting from some additional vessel sales that we had last year. So there are a few effects when it comes to EBITDA. But in terms of revenues, it's mainly linked for the on average per day higher charter rate and those rates are still at today and going forward at very good levels, but they have been quite escalated in 2022 and 2023 as a result of the highest market in history, which we saw in '21 and '22. Then there's another question on fleet speeds. What is your prediction for fleet speeds versus the fuel EU regulation? We have obviously seen fleet speeds go down if you look and obviously, the best proxy for us is always our very own fleet, where we've seen speeds from 2022 to today coming down from around 14.5 knots to somewhere between 13 knots and 13.5 today, which obviously is an implication of certain regulation, but also fuel saving measures by our liner customers. We do believe that, if anything, then this will lead to also continuously slower speeds. However, there's always a tipping point depending on the trade and how the vessels are operated, how slow you can go. But I think in principle, it will not increase speed. It will, if anything, decrease speed further. Then there's a question, do you foresee competitors from China or other markets to be feared in the coming years? And if so how will MPCC cope with the increased competition? I mean, the container tonnage provider market is pretty fragmented. Of course, there have been a few Chinese players coming into the market. These are rather smaller owners that operate a handful of vessels max. I would say they rather operate slightly more vintage vessels in different trades and we see our position as being also a strategic partner to some of the key liner operators to whom we have many, many ships on charter. We do not think that that is necessarily a direct competition. Of course, it's competition for tonnage in general. But the way we have positioned ourselves and we have also cooperated and collaborated with some of our key liner customers, we do believe that we are very well-positioned. And I think one key ingredient is transparency. It's operational, let's say, integration and data transparency vis-a-vis our customers. It's the ability to also structure package deals and obviously the clear willingness to also continuously invest either into the existing fleet and as Moritz has said throughout the presentation, we have been investing significant amount of money into retrofitting our vessels and making them kind of as good as possible also for our customers. I think that is also a differentiating factor. And last but not least, we definitely will continue to operate on a low leverage, meaning we will be able on our platform and with our company to also engage and carry out investments in softer markets. So I think we are well positioned our platform and with our company to also engage and carry out investments in softer markets. So I think we are well positioned our platform and with our company to also engage and carry out investments in softer markets. So I think we are well positioned to face any of the potential competition going forward. And there is another question. Hang on. That question is regarding freight rates and container freight rates being fairly strong, whilst bulk rates are weak, have you seen any cascading of regular container cargoes into bulkers or should the speed spread widen further before this becomes economically feasible? I mean, that has happened very rarely, but it has happened in the past. I think the opposite trend has been a trend that we have seen more frequently. Nothing of, let's say, significance in terms of that trend because in the end, especially the customers rely on a logistical chain operating to their full satisfaction and in line with their expectations. And to have a reliable service offering is partly more important than saving the last dime on a shipment. Therefore, it's not a trend that we are concerned of. Maybe it is something that has happened from time to time, but certainly nothing that keeps me awake at night. Then there is a question around U.S. elections and the question is do you believe Trump will be better or worse for the container segment, specifically for the feeder segment? That is, of course, a very difficult question to answer, to be frank. Of course, on the macro scene having tariffs or other measures induced by the Trump administration would, of course, be somewhat that is not supportive of trade volumes and container trade in general. Having said that, we have seen in 2019 where the trade war was basically a theme that impacted the market significantly that one way or the other, the cargo finds its way to customers. And therefore, we have seen a shift in trading pattern. The reduced volumes out of China into the U.S. were compensated by volumes out of Mexico or transshipments via Vietnam or other Asian countries. So we have not seen a significant drop in volumes as a result of trade war. And we do believe that, if anything, this will affect ton-mile demand and will lead to additional inefficiencies in service offering, which will likely increase ton-mile demand. Having said that, that doesn't mean that tariffs and the Trump administration taking more protective actions will be positive for container shipping. No, it will not. It will, again, on the headline definitely be negative. But I do believe that over time, this will be balanced out by inefficient trading and by the fact that cargo will find its way on this globe to get from A to B. And then there's one question also on revenues and profit in terms of U.S. tariffs. I think I answered that. First and foremost, a very important aspect to consider as well is for the next -- for the foreseeable future, we are very well covered on our revenues, which are by no means linked to any tariffs, right? So our revenues are based on charter rates that we have agreed that will be paid. I have no doubt about it. Our customers have all net cash positions. So any impact on revenues and profit as far as our company is concerned would not be direct impacts, but would potentially be impacts as a result of liner companies being affected by higher freight rates.
Moritz Fuhrmann: Then there's one last question on some of the broker reports that came out this morning. We read that some analysts are suggesting that the charter interest is declining given the lack of fixtures. Can you please elaborate on that? It's actually quite to the contrary, looking at the current charter market. So the reason for less activity relative, for example, to the summer is simply that the market is completely depleted in terms of available tonnage. And that actually means that companies like MPCC, but also competitors are looking at positions in early '25, meaning Q1, but also early Q2 when the next tonnage is available for re-chartering and trying to fix those vessels. So it's actually a sign of strength being able to forward fix positions. And it's by no mean any sign of charter market activity decreasing or declining. It's simply a lack of available tonnage and not a lack of activity.
Constantin Baack: All right. There are no further questions posted. We will hold for a short moment to see whether anything else is coming in. That does not seem to be the case. So thanks, everyone, for your interest and for all – thanks everyone for your interest and for all the questions. Again, as we have conveyed throughout the presentation, we are very confident about moving into the next year, which might be a year with quite a bit of geopolitical uncertainty, but we think we are very well prepared to not just maneuver through it, but also to make use of opportunities if they arise. And on that note, yeah, thanks for your attention and looking forward to catching up soon. All the best. Take good care. Bye-bye.